Operator: Good morning, ladies and gentlemen. And welcome to the Second Quarter 2021 Unifi, Inc. Earnings Conference Call. At this time, all participant lines are in a listen-only mode. Later we will conduct a question-and-answer session, and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host Mr. A.J. Eaker, Vice President of Finance. Sir, the floor is yours.
A.J. Eaker: Thank you, Vince, and good morning, everyone. On the call today is Al Carey, Executive Chairman; Eddie Ingle, Chief Executive Officer; and Craig Creaturo, Executive Vice President and Chief Financial Officer. During this call, management will be referencing a webcast presentation that can be found at unifi.com and by clicking the conference call link. Management advises you that certain statements included in today’s call will be forward-looking statements within the meaning of the federal securities laws. Management cautions that these statements are based on current expectations, estimates and/or projections about the markets in which Unifi operates. These statements are not guarantees of future performance and involve certain risks that are difficult to predict. Actual outcomes and results may differ materially from what is expressed, forecasted or implied by these statements. You are directed to the disclosures filed with the SEC on Unifi’s Forms 10-Q and 10-K regarding various factors that may impact these results. Also, please be advised that certain non-GAAP financial measures, such as adjusted EBITDA, adjusted EPS, adjusted working capital and net debt may be discussed on this call. I will now turn the call over to Al Carey.
Al Carey: Thank you, A.J. and thanks for everyone joining the call this morning. I will be brief in my remarks and I will provide you with, say -- let’s say the broad themes of what we have seen in the first half of the fiscal 2021. And then Eddie and Craig will follow me with the details of the Q2 performance and then we will have a Q&A. So, Q2 was a very positive quarter for us, as we saw a nice recovery from the COVID impact. We still have plenty of work to do, but this quarter was a strong step forward. While our revenue was slightly below prior year, it was better than our internal expectations, and then both November and December revenues were above the prior year. Our adjusted EBITDA performance was very strong. It was double versus a year ago. But we had some tailwinds and we also had some upsides in a few areas, particularly from our Brazil segment. But even after you normalize those items, we still perform significantly better than prior year. Our balance sheet continues to show improvement, inventory levels, cash and net debt are all in a good position and then Craig will take you through the details of that very shortly. So as you look into the second half of 2021, we are optimistic. However, we aren’t entirely certain about the most recent spike in COVID cases and how it might impact retail consumption or our people in the plants. But we believe the good news on the vaccines should create some optimism for a future quarter’s performance. I wanted to comment on two broad positives that are outside the financials. I think both of these strengths will provide a positive impact to our business for the balance of the year and then even beyond that. First, we have the right leadership team in place from top to bottom. Some of you who follow us remember about a year ago that wasn’t the case. So from top to bottom, our team brings significant amount of company and industry knowledge. They have really shown resilience during this COVID time. We work well together and we are now beginning to see the value of leadership continuity in our performance. The second positive trend appears to be an acceleration of momentum on environmentally sustainable products from our customers and also from consumers, especially young consumers, who I think feel that they want to do something positive for our environment coming out of this pandemic and this shows up on our mix for REPREVE. So our sales mix for REPREVE has maintained an upward trend and its move now to a record level of 37% in Q2, was 35% in the last quarter and in the high 20s a year ago. Additionally, the request for our REPREVE hang tags have gone up significantly. These hang tags, you may know are affixed to the product containing REPREVE and they help tell the recycled story. And in the last six months, we shipped 45 million hang tags and that compares to 33 million a year ago during that same period, so it’s up a third. We believe that many of our customers are now taking action on sustainability commitments that they have made for 2025. These environmental goals are things that have to be accomplished for our customers and the dates getting closer, 2025 closer than we really think. So I think, overall, the environmental sustainability is a definite megatrend that’s only going to go up from here, whether you are talking about brands or public policy, or in society coming out of the pandemic. So, in summary, I’d say Q2 was a very solid quarter with some real nice momentum. Now, before I turn it over to Eddie, I am pleased to announce the addition of Emma Battle to our Board of Directors. We just announced it yesterday. Emma has extensive marketing background, general management and strategy experience. And she’s had experience with companies like PepsiCo, Hanesbrands, Red Hat, and she’s an independent director in Bassett Furniture and today, she’s the Founder and CEO of MarketVigor, a marketing company. I can tell you that Emma brings a skill set that’s very complimentary for our Board and we are delighted to have her on the Unifi team. So, with that, let me turn it over to Eddie Ingle, our CEO.
Eddie Ingle: Thanks, Al, and good morning, everyone. As Al mentioned, our second quarter fiscal 2021 results outperformed our initial expectations and they are a reflection of our strong global presence and the resilience of both our employees and our business model. Before I speak in the quarter, I want to personally thank our employees for their continued hard work and dedication to the business, and especially their dedication to our customers. This strong quarter would not have been possible without their many contributions. I am very pleased to report the health and safety protocols that we put in place at the beginning of the pandemic allowed us to maintain normal operations, positioning us well for further recovery. On slide three, we provided an overview of the quarter. The business performed well during the second quarter and is approaching pre-pandemic revenue levels. Q2 revenues were up 15% from Q1 with meaningful improvement across all segments and geographies. The flexibility of our global business model and its innovative components continues to allow us to adapt and quickly capitalize on new efficiencies and market share opportunities. Key drivers to the 670-basis-point increase in gross margin year-over-year, our results have continued focus on cost, outperformance by the Brazilian segments and the expansion of our REPREVE and other innovative products, all as more volume -- as more normal volumes occur. Now despite a challenging environment, our team’s dedication and hard work contributed to Unifi achieving its best quarterly profits since June 2016 and the best second quarter profitability in 10 years. The demand for sustainable solutions continues to grow and so is interest in our REPREVE fibers. This includes multiple new customer adoptions and/or new co-branding opportunities, which continue to increase REPREVE’s contribution to sales. REPREVE Fiber sales now represents a record 37% of consolidated net sales, compared to 35% in the previous quarter. Additional details about REPREVE Fiber sales are shown on slide four. While these Q2 results will be hard to sustain in the short-term, it’s clear that the COVID crisis has enabled our organization to find new efficiencies and drive ongoing productivity across our manufacturing platforms, while pursuing market share opportunities when they arise. It’s certainly an exciting time for everyone in the company and I am looking forward to building on our current performance long-term, as we assume the underlying business momentum will remain intact. Lastly, our work towards strengthening our balance sheet has allowed us to execute on growth focused capital allocation priorities. Shortly after the second fiscal quarter ended, we made the strategic acquisition of Fiber and Yarn Products, Inc.’s Nylon portfolio. While this transaction was of similar size to the Texturing Services, LLC transaction, we committed to just three months prior is an important step forward in our efforts to strengthen the Nylon segments and its capabilities. We are excited about the addition of Fiber and Yarn customers to our portfolio and expect a quick and seamless integration process as this business transitions to our Madison, North Carolina operations. Now we have several exciting brand highlights to discuss today, starting with our partnership with Disney. For the holiday season, Disney launched t-shirts and faces in their Orlando Parks stores, promptly displaying REPREVE signage, a point-of-sale. It is a follow on to their April 2020 online launch of t-shirts made with REPREVE. Disney has the ability to market a consumer relevant circular economy story since Unifi continues process plastic bottles collected from Orlando Parks into REPREVE resin and yarns. Also, we had an expansion of our business into WORKWEAR. Aramark has launched a Polo shirt made with REPREVE to customers looking for durable, sustainable work garments. And another recent success is the towel program at Nordstrom. These towels are available online and at retail and were developed through our Turkey supply chain operations. Another example of how we are able to leverage REPREVE in the home goods space. Then there is Tommy Hilfiger and Hugo Boss, also utilizing the REPREVE brands. Tommy Hilfiger REPREVE is seeing continues strengthen swim and activewear with some international placements. And Hugo Boss has launched athletic inspired footwear with 100% REPREVE offer. This small sampling is an impressive list of partners and clients and we are both humbled and excited at the extension opportunities we have to build further and expand these relationships with leading global brands. This activity is driving the increased shipments of hang tags that Al mentioned in his remarks, representing a sizeable growth in on product co-branding. This sustained increase in co-branded items in the market represents strong momentum among brands and retailers to recognize that the REPREVE ingredient brands helps provide a quality, transparent, sustainable -- sustainability story for their customers. Now, I will provide some high level comments on our operating segment performance during the second quarter before Craig takes you through more specific details. And you can use slides five and six of the presentation where we discuss the second quarter results compared to the first quarter. The Polyester segment benefited from a better production and sales mix, along with raw material and pricing stability. Sales volumes continue to normalize and we remain optimistic on sales mix going forward for this segment. The Asia segment continues to demonstrate signs of improving business conditions and further recovery to pre-pandemic levels. Volumes were up meaningfully and benefited from pull-through a new and existing customer programs and margin were -- margins were aided from supply chain efficiencies and a richer sales mix. Brazil, as you have seen, had a record second quarter. The strong performance was primarily driven by our unique position in the region and our ability to capitalize on the dynamics of the market which is dominated by imports. Similar to the first quarter, we were able to capture unfulfilled demands and maintain a strong market position. Now looking ahead, we are forecasting some moderation of our profit growth in the region, given how strong it’s been recently. The local Brazilian team continues to work to the best of their abilities to maintain and expand the solid market share they have captured. Lastly, the Nylon segments performance met our expectations for the quarter affecting a more balanced sales level. Despite being modestly down year-over-year, the sequential increase in segment sales is encouraging and positive sign for this business. With that, I will turn it over to Craig.
Craig Creaturo: Thank you, Eddie, and good morning, everyone. Like the rest of the team, I am very pleased with our second quarter of fiscal 2021 results and our ability to navigate this recovery with strong cash and liquidity position. Eddie highlighted the changes from the just completed second quarter to our first quarter of this fiscal year. I will provide our normal commentary on the just completed quarter compared to the same period in the prior year, which for the past few quarters has not been as meaningful due to the impacts of the pandemic. So we are pleased that the businesses recovered in such a significant manner that the information shown on slide seven and eight of the presentation are meaningful again. Let’s start with a sales comparison on slide seven. Polyester segment volumes were just 1.1% lower than the prior year and raw material costs drove prices down but were partially offset by a richer sales mix to generate a 7.3% decrease in net sales. For the Asia segment, lower volumes negatively impacted net sales by 8.1%, while the lower raw material costs impacted pricing, generating an overall 6.7% decrease in net sales, after considering some favorable foreign currency translation due to the strengthening of the renminbi against the U.S. dollar. Brazil segment outperformed 21.7% growth from higher volumes, while strong pricing levels helped to nearly offset the significant unfavorability of foreign currency translation due to the weakening of the real against the U.S. dollar. Lastly, the Nylon segment showed signs of stability, with revenues just 6.3% below the prior year, following sales mix changes. Moving on to the gross profit overview on slide eight, every segment exhibited an increase. The Polyester segment benefited from a more favorable raw material and pricing environment, along with the richer sales mix and manufacturing efficiencies, achieving a gross margin of 14.2%. The Asian segment benefited from raw material sourcing improvements and a rich sales mix, driving gross margin to 14.6%. The Brazil segment again with its sales outperformance doubled both gross profit dollars and gross profit as a percentage of sales from the prior year by gaining market share and achieving strong pricing during the just completed quarter. The Nylon segment also exhibited year-over-year improvement, as operational improvements lead to a higher level of gross margin. For Unifi overall, gross profit was $25.9 million and 670-basis-point increase in gross margin as a percentage of sales. As you move down the income statement, our SG&A remain consistent with our expectations, driving strong operating income that further led to significant improvements in pretax income, net income and EPS, generating extensive year-over-year increases. Slide nine and 10 show the sales and gross profit comparisons for the first half of fiscal 2021 compared to the first half of fiscal 2020. We are not providing specific commentary on those slides during these prepared remarks, but they are available for you use in analysis. Moving on to the balance sheet on slide 11. Further improvement in our debt and equity positions is demonstrated by maintaining diligence around working capital components and generating cash flows. With great progress on our net debt metric, we continue to have zero borrowings on our ABL revolver, which had an availability of $56 million as of December 27, 2020. Unifi’s commitment to financial health has allowed us to leverage our strong balance sheet during the year challenged by the global pandemic. We have had the opportunity to closing two acquisitions and we will continue to allocate capital for new texturing technology in America -- in the Americas. With a balanced capital allocation approach, share repurchases and further debt reduction can occur at appropriate times. I will now turn the call back to Eddie to take us through the last slides of the presentation and make some final comments.
Eddie Ingle: Thank you, Craig. I will now turn to slide 12 of the presentation to provide a brief update on the recent trade developments. In short, after normalization began taking effect for China and India imports, imports of polyester textured yarn surge from Indonesia, Malaysia, Thailand and Vietnam. We petition for an investigation into this activity and the respective U.S. agencies have thus far determined there’s a reasonable indication of material injury. Consistent with the first round of anti-dumping investigations that spanned calendar 2019, we expect these investigations to occur over the majority of calendar 2021 and we will provide relevant updates as they occur. I will turn to slide 13 of the presentation to provide some context around our expectations for the back half of fiscal 2021. You will note from the outlook section of the earnings release that we were able to include more specific information than we have been able to provide for the past couple of quarters, as our business visibility is returning to more normal levels. However, we are still not able to offer the specificity of outlook that we gave before the pandemic. But we are looking forward to return to an outlook similar to our past disclosures in the near future. We expect global demand uncertainty and risk associated with the COVID-19 pandemic to persist into the second half of the fiscal year. Second quarter strong performance supports our expectation of incremental progress during the fiscal 2021, and as such, we anticipate net sales trends will continue to improve on a sequential basis, returning to pre-pandemic levels in the March quarter. We are encouraged by the recent trends in our REPREVE and other value-added products and expect recent trends to continue long-term. With this sustained business momentum, adjusted EBITDA is expected to improve by low double-digit percentage over the pre pandemic third quarter of fiscal 2020. That expectation includes a few factors. Continued strong performance by the Brazil segments albeit tempered from the record sale in December of 2020 quarter. Unfavorable seasonal domestic shutdown impacts to gross profits for the Polyester and Nylon segments. Unfavorable impact of the Chinese New Year holiday for the Asia segments and raw material cost pressures due to the recent increases in petroleum prices. Lastly, given momentum from the second quarter, our annual CapEx spend remains consistent with our expectation from the first quarter and should fall in the range of $22 million to $24 million, excluding amounts related to the acquisitions. To conclude, I believe our strong performance during the second quarter reflects our unique business model and the upside potential that it has during normal economic conditions. Going forward, we will continue to focus on partnering with global brand leaders that want to position themselves using sustainable products, innovating and repositioning the business to drive long-term organic growth, diligent cost management initiatives to drive gross margin improvements and maintaining our strong financial position and strong balance sheets to expand our growth opportunities through strategic M&A. We will now open up the line for questions. Thank you.
Operator: Thank you, sir. [Operator Instructions] You have your first question from the line of Daniel Moore from CJS Securities. Please go ahead.
Daniel Moore: Thank you. Good morning, gentlemen. Thanks for taking the questions.
Al Carey: Good morning, Dan.
Eddie Ingle: Good morning, Dan.
Daniel Moore: I want to start with the kind of macro and then maybe dig into the numbers a little bit. Do you -- from your perspective, do you see COVID and maybe perhaps aided by the recent change in administration as being a kind of tipping point for product co-branding opportunities for REPREVE, maybe just talked about the rate of change and what you have seen over the last nine months and heading into ‘21?
Eddie Ingle: Yeah. As I said on the call, we do believe that the COVID pandemic has affected the consumer mindsets and how the brands are approaching, how they communicate to their consumers. Certainly, there is a megatrend of sustainability out there and it helps that there’s also a megatrend of people moving to e-commerce to acquire goods, as we said in the last call. So as far as the administration, I don’t think it makes a difference. But I do think the general consumer is trying to do what they can for the environment and they see COVID being an indication of the climate situation we are in today. So it’s good for us. It’s good that people are moving towards sustainable products and REPREVE shipments are definitely a reflection of that environment.
Al Carey: Dan, I would add to that and say that when COVID first hit, it appeared that maybe environmental sustainable products would go backwards a little bit, because there was so much chaos and crisis in the market. And I would say around August, there was very definite change in the trajectory of environmental sustainability from our customers. And if you talk to some of the big brands and the big customers that we have today, their buyers and their merchants are all heavily focused on doing this. I think, because they believe it’s right, but also they are coming up on this 2025 timeframe where most big companies have some commitments that they have to hit and I think the speeds is going to continue going up.
Daniel Moore: Super helpful. Okay. And then maybe dig into the gross margin a little bit, which was obviously exceptional. I will start with international, and specifically, Brazil, just maybe walk us through the factors that were, I wouldn’t say, they would be less permanent in nature. There may be a lack of import competition due to the pandemic that the timing of raw material changes, some -- what is -- how much of that improvement is really sustainable as we look out the maybe the next quarter or two?
Eddie Ingle: This is Eddie. I will jump in and start answering the question. I mean, Brazil has been preparing for the last 20 years. They have got a great team down there. They are -- they were prepared to react to the pandemic. If you go back to Q4 of last year, they lost 70% of their revenues, but they didn’t panic. And they kept their raw material inventory in place. And so when the business came back and the imports from Asia drops, they were able to supply the markets. We are also able to make sure that we manage the price points effectively. So the great thing is, the market needs the product. We were there, we didn’t panic, we had the materials available and that team was able to optimize the inventory levels that we had and translate that into growth in both revenue and in gross margin. There is -- because it was a record quarter from a gross profit -- profitability point of view both in margin and total gross profit, we do expect that to taper off in the coming quarters. But it’s certainly we have grown market share. We expect that market share to maintain as we go through the next few quarters.
Al Carey: And Dan, I can just add that, again, really excellent operational performance, excellent ability by the Brazil team to manage the opportunities that were in front of them and gain market share. We do think that in some ways we caught -- that would have caught some of the competition before I put in and as they recover, that’s why I think our expectations for Q3 are that we will go down a little bit from the gross margin in the high 30s. You will recall that our gross margin in Q1 was about 20%-ish. So we think it will trend back toward Q1, but definitely we have got some nice gains there and that is something that we are again very proud of how they performed in this just completed quarter?
Daniel Moore: Excellent. And similar question for Polyester, again looking at the gross margins that are in excess of anything we have seen for multiple years, for recognizing it’s just one quarter. But -- and maybe talk about the puts and takes, and what a more sustainable margin level looks like?
Eddie Ingle: Yeah. I think we took a lot of cost out over the last 18 months and the pandemic. The downturn in our business in the Polyester business during the pandemic in the first few months, April, May, June allowed us to force us really to take out costs that we might not have had the courage to do before that. We have maintained consistently since then a lower level of cost and our business has come back. So we have been able to expand our margins because we have been doing a better job managing cost and at the same time we have also increased our mix of products. So we have got a much healthier, much more attractive product mix and that’s in line with the fact that we have managed our costs and the fact that the raw materials have been stable for roughly six months has allowed us to re-maximize the gross profit relative to what we have been doing over the last few years in the Polyester segment.
Daniel Moore: Excellent. Maybe last one for me just on the acquisition and obviously it’s small as you alluded to in your prepared remarks. That’s just opportunistic. Do we expect more in the Nylon space and maybe talk about just kind of the pipeline of M&A more generally? Thank you.
Eddie Ingle: Well, those -- the two acquisitions that we did, they are small as we said. We expect to get somewhere by the fourth quarter $3 million to $4 million increase in revenue, if slightly higher EBITDA margins that we have seen in our current business. So we do expect that to help us in the coming quarters. But as far as new mergers and acquisitions, if there are small opportunities out there that fit in with our capabilities that are easy to integrate that can dock on to our existing infrastructure. We are certainly looking out for those opportunities. We do see some opportunities out there, but nothing specific to talk on at this present time.
Daniel Moore: All right. Well, thank you for your time and congrats on a great quarter and look forward to hearing a lot more. Thanks.
Eddie Ingle: Thanks.
Al Carey: Thank you.
Operator: Thank you. You have your next question from the line of Chris McGinnis from Sidoti & Company. Please go ahead.
Chris McGinnis: Good morning. Thanks for taking my questions and congrats on a great quarter and…
Al Carey: Good morning.
Chris McGinnis: … really impressive.
Al Carey: Thank you.
Chris McGinnis: Good morning. Could you just -- maybe just touch on the sustainability, the teams will be picking up. Can you just talk about maybe the competitive landscape? You are obviously very early in on this strong customer relationships? Can you just maybe talk a little bit about how that’s developing it appears with the closer to that 2025 goals and which is how maybe that landscape’s changing a little bit?
Eddie Ingle: So many -- as Al mentioned, many of these companies like Adidas, for example, have declared that they want to achieve it 100% recycled content for their apparel by 2025. REPREVE brand that we have been building over the last 10 plus years, there’s something unique about that. It’s traceable, it’s transparent, we are a publicly traded company. People know they are not going to get in trouble when they buy our products and the fact that we are global. So the products can be firm that we developed here in the U.S. and then moved globally to wherever the sourcing team from particular company wants to get the product from. So I think we are unique in that. We do offer this trust and traceability and transparency that is not as open and certain competitive competitors that have. So I think we are in a very special place. We are seeing the growth in Asia, significant growth in Asia and we expect that continue through 2025, because these brands have declared what they want to do. Now they have to find really solid opportunities to get those inputs and where the right brands and the right company to deliver those inputs to them.
Chris McGinnis: Great. And just in a similar vein, could you just put your capacity for REPREVE now, and I guess, just your thoughts around expansion as this begins to grow from here. Can you just talk about whether does that change the supply chain? Just the -- as that continues to pick up, how are you built out and position to execute on that growth?
Eddie Ingle: Yeah. So in Asia we do have an asset light model, so……
Chris McGinnis: Yeah.
Eddie Ingle: So we don’t expect to run into any issues around being able to meet the increased demand here in the U.S. We -- the growth of the REPREVE is driven a lot by the Central American market and while it might not be as aggressively pace as in Asia, we have enough assets in place and enough capabilities to where we will be able to meet the growth that we are forecasting in the coming years. Now we do expect to have potentially some CapEx next fiscal year to meet some of this increasing demand. But right now we have enough capability to meet demand in this region. And then lastly in Brazil that market is still very much a virgin market. Although, we are seeing indications now that there is an interest in the consumers in sustainability and we will be using our Asian supply chain to meet that supply chain.
Chris McGinnis: Great. Thanks for that color. Just last question just on the trade issue, I was just wondering if you can put a size on the impact. Is it similar to China and India and the impact that had on ‘19. Is there any way you can kind of touch on that or provide a little bit more color on what do you think the impact is and I’d appreciate it?
Eddie Ingle: Well, the imports from China and India after those duties were put in place. I think the duties for India were about 18% and for China about 100% roughly and the imports from those two countries dropped to practically zero. There was -- we did pick up some volume from that event, but not as much as we had hoped because these four countries that we talked about Malaysia, Indonesia, Vietnam and Thailand. With this the question now is not whether they will get anti-dumping but it’s about how much the anti-dumping duties will be and we will know that in April. So I think it’s hard to predict exactly how much volume we are going to pick up because of that. But certainly, we are optimistic that it’s going to be quite meaningful for the company in the U.S.
Chris McGinnis: Great. Great. Thanks for taking my questions. Again congrats on a quarter and good luck in Q3.
Eddie Ingle: Thank you.
Al Carey: Thanks, Chris.
Operator: Thank you. You have another question from the line of Marco Rodriguez from Stonegate Capital. Your line is now open.
Marco Rodriguez: Good morning, everybody. Thank you for taking my questions.
Al Carey: Hi, Marco.
Eddie Ingle: Hi, Marco.
Marco Rodriguez: Hi. I was wondering if we could follow-up on a prior question in terms of the gross margins the operating efficiencies. I was wondering if you can maybe talk a little bit more about that kind of drill into a little bit more detail about any specific surrounding that and if you can quantify perhaps the dollar amounts that might have been taken out and the sustainability of that?
Craig Creaturo: I think, Marco, we -- throughout the just completed quarter, we feel like we did the right things to protect the integrity of our manufacturing operations. We are very, as Eddie mentioned, very proud of kind of the safety and protocol things that we did to keep all of those manufacturing locations up and running. We feel like we were able to accomplish a higher level of manufacturing throughput and volume. And at the same time during the quarter we still felt like we could be adding a few more people. So really we caught a fair amount of efficiencies, productivity and really again it’s a credit to our skilled and trained workforce. To try to quantify it, little bit hard for us to do that. I think the other thing that we had going on that we touched on a little bit in the prepared remarks was, the sales mix was a bit more favorable especially here in the U.S. as well, so generating a little bit higher profitability from just because of the types of products that were run through the plants during Q2. So really those are the main items and I think we feel like we are being very careful in the costs that have been taken out of the business. As we start to catch some of the higher sales levels we believe especially maybe in SG&A we will add a little bit of costs into that area. But overall, we are being pretty prudent and trying to not let those costs kind of leap back into the organization the best we can. Probably, we will need to add some additional costs as the volumes increase and that is really our projection for the remainder of the fiscal year. So, Eddie, do you want to add to that?
Eddie Ingle: No. I think it’s okay.
Craig Creaturo: Okay.
Marco Rodriguez: Great. That’s very helpful. And so maybe if I can ask another question surrounding that, in terms of the items that you brought out that positively impacted gross margins in the quarter, the operating efficiency, the mix, price instability. Maybe if you can kind of rank them from the most impact and you saw in the quarter to the least impact?
Al Carey: Good question. I will maybe give you a bit of a broader answer. I think we are continuing to see not only the sustainability pooling you see that through the REPREVE percentage going up each quarter and reaching to the 37% that we noted. I think we are also seeing the REPREVE plus additional features and I think that continues to be really an area of emphasis for our customers, not only wanting the nature of the sustainable products but also the enhanced features, whether it be store management, whether it be UV protection, whether it’s a lot of other features that we can add on there. I think there -- the REPRIVE and something else, those types of products and the value that that’s adding to our customers. I think the content of that continues to grow and again we expect that to be that way in through the foreseeable future as well.
Marco Rodriguez: Got it. And then if I can bring up another question just to run kind of the trend in the movement to more sustainability clothing, if you will. You have brought out these comments before in the last call, as well as today, just sort of a mind shift change by the consumer, which seems to have kind of coincided with the pandemic with an ability to more easily surge for sustainable clothing online and online shopping. I was wondering if maybe you can talk a little bit about your expectations, how you are thinking about when the world if you will starts to become a little bit more normalized? I would assume that some of the online shopping perhaps may come down quite a bit in comparison to where it is currently? But just kind of if you can walk us through some of your thoughts surrounding that? And if there are -- and if you have had any sort of conversations with your customers that have really kind of indicated this mind shift that’s something more of a permanent nature if you will, would be very helpful? Thanks.
Eddie Ingle: Well, this is Eddie. And certainly a megatrend around sustainability as we talked about but also on e-commerce, when we first experienced the pandemic in April, May, June, the biggest impact to our business was the lockdowns of the retail environment. And as that opened up and as people accelerated their purchases into -- onto online, this is where we saw an increase in our business. And I don’t think -- with the megatrend people buying online, I don’t think that’s going to change. I think people will yes continue to shop at retail, but we believe whether it’s at retail or online, the move towards buying sustainable products, people want to make that extra step and pay maybe a little bit more money to do the right thing for themselves and for the environment. I think it’s not going to change and so this is why we are seeing the growth in hang tags. It’s a way for the retailers and the brands to co-brands with their brand and a sustainable story like REPREVE. So I think the future macro trends, excuse me, the future macro trends are bode well for us and the commitments that the brands retailers have, especially retailers, big retailers like Target and Wal-Mart, they really fit in our sweet spot and we are there to help them meet their sustainable goals in a way that’s, like I said earlier, transparence and traceable and trusted.
Al Carey: Marco, this is Al. Just wanted to add to Eddie’s comments. From the retail experience I have, I think the pandemic accelerated e-commerce by five years or more years. And from the retailers I am speaking to, they expect e-commerce maybe to go backwards at a small amount, but I think the e-commerce mix is here to stay or pretty close to where it is today. And what’s happened to us in our business at least for apparel and especially athleisure, normally we will sell product in the store and a consumer will look at that hang tag that has our story on recyclable materials. But how much time do you really get with the consumer, a couple of seconds if you are lucky. However, when they call up an online order, they get a chance to read about our sustainability story and we see a very positive trend. So I see e-commerce being an ad for us a positive.
Marco Rodriguez: Got it. And then just a last quick question here, just talking about the balance sheet, we have issued with some excess levels here of cash just kind of versus your historical norm. Obviously, you kept that on the balance sheet to be prudent just given the environment. But just maybe if you can walk us to your thinking about the balance sheet levels there from a debt and cash perspective as things start to normalize and maybe if you can discuss that in terms of capital allocation decisions would be helpful?
Craig Creaturo: Yeah. I think we are in a good spot, Marco. Again, we have nothing borrowed on a revolver. We are doing our quarterly term debt payments. We have deployed some of that capital for the acquisitions that we did in the last two quarters. I guess technically Q2 and the beginning of Q3 here. We feel like we still have an open share repurchase program that gives consideration from the Board. And I think we are ready to embark upon a noticeably higher level of capital spending. And so in our guidance today we noted that the range for capital spending for the full fiscal year will be $22 million to $24 million. In a note from our cash flow we have only done $6 million for the first half of the year. So we know that that’s an area where we are going to strategically invest in really all regions, but most specifically in the U.S. and also in Brazil for some very important equipment and next-generation equipment, texturing equipment that we have talked and touched on before in prior calls. So we do think that that’s going to get a little bit more attention and we will be spending a little bit more dollars there. But I think we are taking this overall kind of balanced approach to capital allocation and I think we have done some good things in certain areas. But I think we are ready to ramp up again capital spending and we will continue to be thoughtful on future M&A activities as well.
Marco Rodriguez: Understood. Thank you guys very much. I appreciate your time.
Al Carey: Thank you, Marco.
Eddie Ingle: Thanks, Marco.
Operator: Thank you. You have your next question from the line of Gus Richard from Northland. Please go ahead.
Gus Richard: Yes. Thanks for taking the question and congratulations on a great quarter. I just want to talk about your customers mix a little bit, given we are all locked down and wearing our jammies during the day. As the world returns to something approaching normal and we start going out again, does that have any impact on your mix or do you expect the positive mix shifts that you have been seeing during the pandemic to continue on? Any help there would be appreciated.
Eddie Ingle: Yeah. There’s a few things that we think will be positive in the coming quarters and one of them is back-to-school, love the kids that have been at home, homeschooling. They haven’t had to worry about their clothing and so we expect and how they look, we expect that to see a pop sometime in the summer as kids go back to school. So as far as the general work where I think the general society especially in the U.S. is becoming more casual. I think like some many other things have happened, there’s a megatrend towards becoming more casual at leisure wear being more acceptable in the workplace. Casual Fridays has become casual every days. And I think when people get back to the office, while they will be more formal, they will still be wearing the kind of material that is suited towards Polyester and Nylon. So I don’t -- we think as people go back to office and as the world returns to the new normal as we say, we think it just is going to continue to benefit us as the world becomes more casual in their attire.
Gus Richard: Got it. And then just sustainable versus non-sustainable clearly is sustainable, materials are growing faster. What is the relative growth rates of the two? How much quicker will sustainable products grow versus non-sustainable?
Eddie Ingle: Well, just at a very macro level, Polyester grows at the rate of -- Polyester production at the rate of 2% to 4% a year depending on GDP and population growth. So that is the virgin, the recycled materials will grow at a faster rate than that and it’s such a small part of the entire ecosystem right now, there’s a huge upside. So the -- it’s hard to put a number on it exactly, but it’s certainly going to be much higher than the normal virgin growth rate. I think the other thing that I’d like to bring up is that, we have REPREVE, but we also as Craig mentioned earlier, we have REPREVE plus and that’s the innovation. So we are giving people the sustainability and these performance attributes that I think really resonates with the brands and helps them sell through more products. So we are selling sustainability, we are also selling sustainability with moisture management term, sustainability with anti-microbial, sustainability with no water is being used to make the arm, what we call a water-wind brand. I think there’s lots of other opportunity beyond just sustainability.
Al Carey: And then, Gus, I would just add to Eddie’s comments. For us, for Unifi specifically, the trade actions kind of speak to or shout to why maybe in the recent past our non-sustainable or if you want to say our virgin products versus REPREVE have been a bit limited. So those actions we really feel have leveled the playing field and will give us a chance to participate more in that market than we had been able to over the past several years. So I would say that’s just kind of a complimentary thing to what we are doing on sustainability is leveling the playing field for the virgin material. I think those two kind of go together.
Gus Richard: Got it. Thank you. Very helpful.
Operator: Thank you. [Operator Instructions] You have a follow-up question from Daniel Moore. Please go ahead.
Daniel Moore: Thank you again. Al, little bit of a crystal ball question, but just digging into your outlook for the remainder of the year as we think about Q4. Just maybe talk about typical seasonality as we emerge from Chinese New Year, some of these other things, do you expect the expectation be continued sequential improvement into Q4 or is it just a little early both topline and EBITDA or it’s little early at this point to get that kind of visibility? Thanks.
Al Carey: Yeah. Dan, good question. I think we have got to the visibility and we are able to give a bit more specifics on Q3 and so I am glad your question started with Q4, because I am assuming that you have kind of caught what we were saying relative to Q3.
Daniel Moore: Indeed.
Al Carey: And Q4 that -- that -- for Q4 that usually is a good strong quarter for us. I think you are catching a couple of items that we expect will happen on the absence of Chinese New Year and we are expecting our Asia business to grow in that Q4. But I would say that, we are probably still a little bit cautious to give you a lot more specifics than that. I do feel like we have very good things going on in all segments and all geographies, but I think we probably needed to soften and not give it too much more specifics for Q4 other than to remind you which I know you know of is Q4 usually is a pretty strong quarter for Unifi.
Daniel Moore: That’s indeed why I asked it. I just want to make sure there isn’t anything on the horizon that we should be thinking of that, perhaps we are not. Thank you for the color again.
Al Carey: Sure.
Operator: Thank you. I am showing no further questions at this time. I would now like to turn the conference back to the management team.
A.J. Eaker: Thanks, Vince. With no further questions we would like to thank everyone for participating today. We have a great platform here to drive long-term growth and we have a focus on the growing wave of sustainability. We are looking forward to partnering with all of you to create a more sustainable future. Our next earnings release for the third fiscal quarter ending March 28, 2021, is tentatively scheduled for Wednesday, April 28, 2021, after the close of the market with a conference call to follow the next morning Thursday, April 29, 2021 at 8:30 a.m. Eastern Time. Thank you all for joining today’s call.
Operator: Ladies and gentlemen, this concludes today’s conference. Thank you for your participation and have a wonderful day. You may all disconnect.